Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Omnicell Third Quarter Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Peter Kuipers, Chief Financial Officer. Thank you. Please go ahead, sir.
Peter Kuipers: Thank you. Good afternoon, and welcome to the Omnicell Third Quarter 2019 Earnings Call. Joining me today is Randall Lipps, Omnicell Founder, Chairman, President and CEO. This call will include forward-looking statements subject to risks, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied. For a more detailed description of the risks that impact these forward-looking statements, please refer to the information in our press release today, in the Omnicell annual report on Form 10-K filed with the SEC on February 27, 2019, and in other more recent reports filed with the SEC. Please be aware that you should not place undue reliance on any forward-looking statements made today. The date of this conference call is October 24, 2019, and all forward-looking statements made on this call are based on the beliefs of Omnicell as of this date only. Future events or simply the passage of time may cause these beliefs to change. Finally, this conference call is the property of Omnicell, Inc., and any taping, audio duplication or rebroadcast without the expressed written consent of Omnicell is prohibited. Randall will first provide an update on our business. After Randall's remarks, I will cover our results for the third quarter of 2019 and our guidance for the remainder of the year. Our third quarter financial results are included in our earnings announcement, which was released earlier today and is posted in the Investor Relations section of our website at omnicell.com. Our prepared remarks will also be posted in the same section. Let me now turn over the call to Randall.
Randall Lipps: Good afternoon. We are pleased to share the results of another record quarter. Key financial results for the quarter include: record revenue of $229 million, up 12% from third quarter of 2018; record non-GAAP EPS of $0.76 per share compared to $0.63 per share in the same period last year, representing a 21% increase; and non-GAAP operating margins of approximately 17%, up over 180 basis points from third quarter of 2018. The value we are creating through our Autonomous Pharmacy vision is being realized every day as more customers join us on our journey to revolutionize the pharmacy care delivery model. We're continuing to invest in technology to advance this vision. Our intention is for medications to be managed through a zero-error, fully automated and digitized infrastructure across the Continuum of Care. The Autonomous Pharmacy vision integrates a comprehensive set of solutions powered by the Omnicell cloud data platform across 3 key areas: automation solutions designed to digitize and streamline workflows; secondly, intelligence that provides actionable insights to better understand medication usage and improve pharmacy supply chain management; and third, automation of medication dispensing workflows, which includes expert services that serve as an extension of pharmacy operations. By connecting these solutions across the Continuum of Care, we have the opportunity to help solve for problems like prescription errors, medical wastes, medication adherence and opioid abuse: all significant industry-wide problems, driving medical costs up and reducing the opportunity for better health care outcomes. As we have previously discussed, our business has expanded over the years from a single-point solution to a platform of products and services that we are developing further in the vision of the Autonomous Pharmacy. This has resulted in large deal sizes across multiple products and we believe more comprehensive, valuable and enduring relationships with our customers. We're pleased to highlight our newest health care partnerships, including a 10-year renewal and expansion of the sole-source agreement with Mercy. Mercy is one of the top 5 hospital systems serving Arkansas, Kansas, Missouri and Oklahoma. This will support medication management and streamline workflows across their service network through Omnicell automation and intelligence solutions in central pharmacy and patient care areas. We have also reached a renewed and expanded 5-year agreement with Vizient, the world's largest group purchasing organization for our full portfolio of products, including XR2, IV workflow and robotics and medication adherence solutions. Omnicell has been recognized with Vizient's innovative technology designation for our industry-leading solutions. Salem Health hospitals and clinics, the premier health care provider for Oregon's Mid-Willamette Valley has selected Omnicell solutions at its flagship, Salem Hospital. Salem Health will be implementing Omnicell XT automated dispensing systems along with integration to the hospital's electronic health record system to streamline workflows, improve nursing pharmacy efficiency and help enhance patients' safety. Salem will leverage close-loop interoperability in the system to provide advanced medication tracking and diversion prevention. In the government sector, their own VA Health Care System in North Carolina and Teague Veterans' Medical Center in Central Texas has selected the Omnicell XR2 Automated Central Pharmacy System, an important technological step toward building a fully Autonomous Pharmacy. IV automation also continues to gain traction in this segment as facilities, including Cincinnati VA Medical Center and the VA of Los Angeles, are adopting our IV workflow technology. Now I'd like to turn the call back over to Peter to discuss third quarter financial results.
Peter Kuipers: Thank you, Randall. Our third quarter 2019 revenue of $229 million was up 12% over the third quarter of 2018 and up 5% from the prior quarter. The increase in revenue was largely due to increase in XT Series implementations, growth in annual service and maintenance revenue from a larger installed base of equipment as well as increased population health solutions revenue. As discussed in the past, our population health solutions include medication synchronization, patient messaging and other adherence solutions. The third quarter earnings per share in accordance with GAAP was $0.46, up from $0.33 per share in the third quarter of 2018. The increase in earnings per share is largely due to higher revenue in the third quarter of 2019 and achieving economic -- economies of scale over our operating expenses.  In addition to GAAP financial results, we report our results on a non-GAAP basis, which excludes stock compensation expense, amortization of intangible assets associated with acquisitions, acquisition and restructuring-related expenses, tax reform and restructuring income tax benefits and expenses, contingent gains in amortization of debt issuance cost. We use non-GAAP financial statements in addition to GAAP financial statements because we believe it is useful for investors to understand the effects of amortization of acquisition-related costs and noncash stock compensation expenses that are components of our reported results as well as onetime events and acquisition and restructuring-related expenses. A full reconciliation of our GAAP to non-GAAP results is included in our third quarter earnings press release and is posted on our website. Third quarter 2019 non-GAAP EPS was $0.76 compared to $0.63 in the same period last year, representing a 21% increase. Similar to the increase in our GAAP EPS, the increase in earnings per share on a non-GAAP basis is again largely due to economies of scale achieved in the context of higher revenue. Non-GAAP other expenses for the third quarter of 2019 was $0.6 million compared to $2.2 million in the third quarter of 2018. The decrease primarily relates to lower interest expense as our outstanding debt balance has decreased and interest rates have fallen. Let's now move to the balance sheet and cash flow. At September 30, 2019, our cash balance was $137 million, up from $87 million at June 30, 2019. Our outstanding funded debt was $80 million, resulting in a net cash position of $57 million. During the third quarter, we did not sell any stock under our aftermarket program. Cash flow from operations during the third quarter and 9 months ended September 30, 2019, was $56 million and $110 million, respectively compared to $60 million and $57 million for the comparable periods last year. The increase in operating cash flows is primarily driven by increased net income and improvement in working capital. Free cash flow generated in the third quarter and 9 months ended September 30, 2019 was $42 million and $62 million, respectively compared to $2 million and $50 million for the comparable periods last year. The increase in free cash flow is primarily due to the increases in operating cash flow mentioned earlier. Accounts receivable days sales outstanding for the third quarter were 82 days, down 5 days from the previous quarter and down 11 days from September 30, 2018. The decrease in DSO from last quarter and the prior year is primarily due to higher sales and increased collections. Inventories as of September 30, 2019 were approximately $106 million, up $2 million from the previous quarter, up $7 million from September 30 last year. The increase is primarily driven by demand for the XT Series product line. Our headcount was 2,625 at September 30, 2019, up 70 from the end of the previous quarter and up 199 from the same quarter last year. The majority of the increase is from manufacturing, implementation and service personnel needed to support our business as it continues to expand. We expect this hiring trend to continue as we grow the business. Let's now move to guidance. The specific guidance for the fourth quarter of 2019 is as follows: we expect total revenue to be between $240 million and $246 million. We expect product revenue to be between $181 million and $186 million. We expect service revenue to be between $59 million and $60 million; and we expect non-GAAP EPS to be between $0.75 and $0.80 per share. Now moving to our full year 2019 guidance. We expect 2019 product bookings to be between $765 million and $790 million. This is unchanged from our previous guidance. We are narrowing our guidance range for 2019 total revenue. We now expect 2019 total revenue to be between $889 million and $895 million. The midpoint of our updated and narrowed revenue guidance applies approximately 13% year-over-year growth from our full year 2018 total revenue. This revenue guidance is based on as follows: we now expect 2019 product revenue to be between $652 million and $658 million. Our previous guidance range was $653 million and $662 million. We now expect 2019 service revenue to be between $236 million and $237 million. Our previous guidance range was $233 million to $237 million. We are increasing and narrowing our total year 2019 non-GAAP EPS guidance. We now expect 2019 non-GAAP EPS to be between $2.79 and $2.84 per share. Our previous 2019 non-GAAP EPS guidance was between $2.65 per share and $2.82 per share. The midpoint of our new and updated non-GAAP EPS guidance implies an approximately 35% growth year-over-year. For 2019, we're now issuing an average tax rate of 9% in our non-GAAP EPS guidance range. Using the midpoints of the provided ranges, we expect non-GAAP operating margins for the full year to be slightly above 15%. As Randall mentioned, we're pleased with the results for the third quarter of 2019, and we look forward to continuing to deliver profitable results in the fourth quarter. Before returning to the Q&A portion of today's call, I want to touch briefly on an informal inquiry that we received from the SEC following the report from self-proclaimed short-seller selling GlassHouse, that was issued in July. Such inquiries are not uncommon following reports like the one GlassHouse issued. We have responded and are fully cooperating with the SEC. We remain consistent in our July 15, 2019 response to the GlassHouse report. With that, the purpose of today's call is to discuss our third quarter earnings, and we ask that you keep questions focused on our results. Now we would like the open the call for your questions.
Operator: [Operator Instructions]. Your first question is from Matt Hewitt with Craig-Hallum.
Matthew Hewitt: First off, revenues, particularly product revenues came in a little bit light of my expectations, Street expectations. I'm just wondering if there was anything timing related, or maybe supply a little bit of color on how these orders are kind of flowing through given the strength in your bookings.
Peter Kuipers: Yes. So bookings are strong. Backlog is quite healthy and strong. We're slightly below the midpoint of the provided guidance range. We had some headwinds from an FX perspective internationally, and then there's a little bit of timing delay in the U.K. from the Brexit influence as well and a tiny bit in the Middle East from the geopolitical developments there. So we wouldn't have those 3 factors, then we would have been at the higher end and exceeding the product -- the guidance range, if you will.
Matthew Hewitt: Okay, that's great. And then shifting gears to the gross margin. So product gross margin, a very strong quarter. I think it might be a record there on the gross margin. Meanwhile, service and other gross margin has kind have been ticking down a little bit. Where do you see those to kind of -- moving over the near to midterm? Can gross margins continue to expand as you add more and more software, or does that fall into the service? And if so, then why wouldn't that one be ticking up?
Peter Kuipers: So for gross margin, we have a favorable product and customer mix in the third quarter. We do expect gross margins to continue to increase over time, with the caveat that typically the first quarter is a lower quarter in revenue, if you will, and then we build up during the year. So there's definitely a little bit of volume leverage as well in the third quarter and expected in the fourth quarter also.  For service margins, we did mention the strength in population health solutions. That comes typically at a tiny bit lower margin compared to the more traditional service revenue that we have. And then we're also investing in professional services for implementations as we go forward. So those 2 factors, a little bit of what mix on service and they were investing also in professional services and they were ramping up but the installation implementations of the newer products and they are lower scale versus kind of the core products, if you will. That makes it the percentage a little bit down on the service gross margin line.
Operator: Your next question is from Mike Ott with Oppenheimer.
Michael Ott: Peter, you mentioned I think, that some of the rev strength growth in the quarter was due to the population health solutions, just curious if you could call out strength in any particular health solutions.
Peter Kuipers: Really across-the-board. I mean we went live at a larger program, if you will, that was nationwide, so that has some really good enrollments and that's the majority of it.
Michael Ott: Okay. And then also, you said some nice government deal flow in the quarter. Is that fairly typical for the 3Q? I mean how does this compare to past years? I realized the government fiscal year end here at 9/30.
Peter Kuipers: Yes. So third quarter, typically, is the higher quarter for government business. And so we would expect -- it's the highest quarter likely for government business in the year, so that's for bookings, right? We're very pleased to see that also the government is adopting components of the Autonomous Pharmacy, like the XR2, some pharmacy robot and IT automation. But you're right, third quarter is for most government organizations that we serve and partner with kind of a fiscal year end for them. But we do expect some more business also in the fourth quarter from government.
Operator: [Operator Instructions]. We have a question in queue from Matt Hewitt with Craig-Hallum.
Matthew Hewitt: A couple more here. Adjusted operating margin, obviously, a very strong quarter and above your typical 15%. I think you've kind of talked about that in the back half of the year, coming in north of that 15% historical target. I'm not trying to put you on the spot here, but you've got Q1, you just explained that typically you do see some deleveraging or some deleveraging there from a margin perspective. But how should we be thinking about this given the strength that you're seeing from a booking perspective, which should translate into revenues, you're seeing leverage in other areas of the business, is 15% still the appropriate number?
Peter Kuipers: Yes. So we think for now it is. We do see strength year-over-year, that is absolutely correct. But we do have investments booking in the past with the Autonomous Pharmacy and some of the products that we already mentioned, and we are building out the new products as well. Plus we're investing in services, on a professional services perspective. So for now that is the kind of the total year, longer-term framework. We're looking at potentially updating it in the not-too-distant future. But for now it's 15%.
Matthew Hewitt: Okay. Another question regarding DSOs. You've shown steady improvement the last couple of quarters, bringing that number down. Do you have an internal range or target that you're shooting for? And maybe how close are we to getting there?
Peter Kuipers: Yes. We're definitely reducing the accounts receivable balances, if you will, I think we went over the drivers compared to other MedTech companies on prior calls as well. We do not have a formal DSO target. The DSO is purely a mathematical calculation of the gross AR balance of a revenue in the quarter. The one part that's very difficult to estimate is really the shipments in the last couple of weeks of a quarter because they are mostly for installs and revenue in the following quarter as the debt fees makes it really difficult to estimate. But we do have the one piece -- we do have internal cash collection targets by the month, if you will, for the teams, and we're definitely driving those very hard, and we see some really good results.
Matthew Hewitt: One last one for me. Regarding Mercy. As you mentioned, top 5 health system, by my math, that's an extremely large contract, 10 years. The last sole-source agreement you signed with them, I believe, was back in 2003. So this is consistent with that kind of that longer-term partnership that you've previously had. But as we think about this, I would assume that they're upgrading the XT cabinets, they're adding XR2. How will those kind of layer into revenues? I would assume that -- or should think that they would be more front-end-loaded in this 10-year sole-source agreement. But maybe kind of walk us through how these longer-term agreements kind of layer on over their term.
Randall Lipps: Yes. I'll take that question, if you don't mind. These big customers who have been our customers for a long time really have to look at the redeployment of the newer technologies and really redesign it from the ground up, not just replace what they have, but how do you get much more out of the technologies and with coordinated connection between the pieces. And so as we build out the design of that over the next couple of years, then we really -- generally, you start with the oldest equipment. And so if they're an older customer, they have quite a bit of equipment that's aged. So and the newer equipment, of course, since they run the same initial software technology that we run today, they don't have to replace it quite as quickly. So the key is that we're able to deploy a total solution set that really gets to some of these pharmacy issues that have not been able to be addressed without sort of a total comprehensive view. But I, just from a rollout standpoint, I would think that Mercy has a lot of systems, which -- have been our customer for a long time, so they probably need to have some of those systems replaced sooner than later.
Operator: Your next question is from Mitra Ramgopal with Sidoti.
Lalishwar Ramgopal: Just a couple of questions. I noticed SG&A coming in as a percentage of revenue the last couple of quarters. And I know early on, you're scaling up headcount a little. I'm just wondering where you are on that front.
Peter Kuipers: Yes. So we'll drive a little bit of leverage here in the third quarter, fourth quarter. But we are growing, looking at backlog and bookings momentum and the pipeline momentum. We will continue to scale the SG&A as we're hiring. And like we said, we expect to do in the fourth quarter as well, we expect to go up in SG&A cost as well.
Lalishwar Ramgopal: Okay. And again, I know you have a noticed...
Peter Kuipers: And actually, in the fourth quarter, we do have a number of the bigger pharmacy and health conferences that also add cost to the fourth quarter as compared to other quarters.
Lalishwar Ramgopal: Okay, okay. And I know you've obviously announced some nice wins recently, especially, obviously, in the U.S. So just wondering, outside the U.S. now if you're seeing any change in the business environment there.
Peter Kuipers: Like we said in the earlier -- from an earlier question, we do see some headwinds from an FX perspective on the British pound and the euro. We do see some delays from the NHS. Capital spending, if you will, in the U.K., we think that's merely a delay that's mostly related, we believe, to Brexit. And then in the Middle East, you do have a little bit of a geopolitical impact on ordering patterns as well. We think that's most utilized as well. But we have a number of win as well internationally. We do see the ADC adoptions in part of Asia also picking up, specifically in Hong Kong and in Australia where we have some nice wins, if you will. So we've got some good momentum there, but probably a little bit lower in third quarter than we expected it to be as we into the quarter.
Lalishwar Ramgopal: And finally, I know the tax rate obviously came in quite a bit in the third quarter. How should we be thinking about that going forward?
Peter Kuipers: Yes. So we got it for the full year, right, for 9%] blended rate. And the fluctuations are really kind of depending on the benefit of the stock option exercises, so that's why it ticked up a tiny bit. But in that range, it's probably fair for you to assume in the future. In future years, however, got to make sure that you calculate the incremental profit at the federal U.S. rate of 21%, right, so that's going to stay at that lower rate to incremental dollars you need to really -- tax effect is about 21%.
Lalishwar Ramgopal: Right, right. And then, finally, Randy, early on, you've mentioned a lot of things that you see you could be making a difference on, things like opioid crisis, et cetera. Just wondering if you're already having conversations regarding any specific things you could be doing in terms of working with your existing customer base.
Randall Lipps: Yes. I think that there's a whole new set of regulations and, I guess, scrutiny around opioid management and every health care institution. And we have solution sets now, and we are putting time and energy to advancing those to even more at the next level, because the scrutiny is this is one of the areas that pharmacies have struggled a little bit on and now are just behind the game because it's become such an important piece of executing a pharmacy, well, because people do need the opioids, but you got to make sure no one else is diverting them. So it's become mission-critical like it's never been before. So a big opportunity for us, and it's already a great product line that we have, but more to come.
Operator: Your next question comes from Bill Sutherland with Benchmark.
William Sutherland: That Vizient deal, can you give us some color on that? Is that kind of like more of a partnering situation? Or how is that going to work?
Randall Lipps: Well, Vizient has always been a GPO that we've worked with over the years, for many, many years. Probably that new part of the Vizient deal is really -- they only had the core products and not a whole expansion line. And so we were able, in this round, to expand the product line to include IV workflow and robotics, the XR2 new product lines, and that's really important because you want those product lines to be presented as a package, not as -- well, Vizient is kind of supportive of this, but not of that. So that's important for us to have a good relationship with them, and because their members are really looking for their blessing on these things. They don't really buy the product directly of course, but it's important. And I think that was important -- important enough for us to mention it, and they've always been a great partner of ours.
William Sutherland: Do you probably don't want to give a percentage, but are you in like the majority of their hospitals? Or is that a lot of...
Randall Lipps: Whatever our market share is, is probably the same market share that were in their hospitals. So -- or probably about half, somewhere around half of their members, maybe a little more if they represent the larger groups.
William Sutherland: Okay. Curious, just in a general sense, on the operating margins. As you've talked about this before, but I just kind of want to see as you get more experienced with these larger multiyear platform sales. Net-net, should that be generally a lift for your operating margins?
Peter Kuipers: Well, large-scale always gets economies of scale as well. However, what as we said on an earlier question, there's quite a bit investments to go to really bring the this vision of Autonomous Pharmacy to life. Randy talked about some of the areas that are cumbersome for pharmacies that are on big issues like opioids. If you step back and look at pharmacy, specifically hospital pharmacy, you are the leader of pharmacy in a hospital, you need to manage about 4,000 different SKUs, if you need to have full feasibility on. And that's not the case today, and there's a big gap there. Medication waste cost is between 5% and 7% of the annual medication cost for health systems. Feasibility is limited because a lot of the automation is only implemented at kind of points of care in the OR and in the ER. There is a lot of technology needs and growth to be had. So we do believe that there's quite a bit of investment for us to make to really help the industry to go to the next level.
Randall Lipps: And I'd just add to that. Our emerging products are growing really nicely. I mean, they're growing at a nice rate. But they're relatively still small, and so it's hard to get the scale on those until they get larger. So but the uptakes and the orders are nice, and I think it just confirms our story of a broader product line and platform that people really want to drive all the medications, not just some of those.
Operator: Your final question comes from Gene Mannheimer with Dougherty.
Eugene Mannheimer: Good job on the record results. I had just 2 things. You talked about some major expansions in the quarter, certainly Mercy is a very good one. How about -- how should we be thinking about net new wins these days? Do you still view yourselves as net share gainers in the market? And my other question relates to the term, I heard, SEC inquiry. Just trying to understand if you could expound on maybe what areas they're looking into and where the concerns are.
Peter Kuipers: So for the market share perspective, we've always mentioned this. And as you recall in a relative share of bed counts in the U.S. We do believe also this year that we have gained further market share, if you will, at a fairly consistent rate. We were clicking away and taking away about 100 basis points to 150 basis points of share. We believe that, that's continuing this year as well. And then on the voluntary informal SEC inquiry, we can't really comment on that kind of areas, but they're generally aligned, we would, say refer back to the self-proclaimed short-seller report. And there's nothing to report.
Operator: And there are no further questions at this time. Mr. Randall Lipps, your closing remarks, please.
Randall Lipps: Well, thanks for joining us today. And as we continue to see the Autonomous Pharmacy is something that the industry is really hoping for to help change the Continuum of Care in the way medication management is done. And it's very exciting. In our next midyear ASHP, the American Society of Hospital System Pharmacists in December, we'll be talking more about our road map and how the Autonomous Pharmacy is going to be rolled out to really address some of these big pain points to really change the way medication management is looked at and executed upon. So I hope you can join us there. And thanks again to the Omnicell team who have once again continued to perform well in the marketplace and really out to improve health care for everyone. Thank you very much. We'll see you guys next time.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.